Operator: Thank you for your patience, everyone. The Equity Bancshares, Inc. 2025 Q2 Earnings Call will begin in two minutes. In the meantime, you can register to ask a question by pressing star followed by one on your telephone. The call will begin in one minute. We will resume in two minutes due to a technical difficulty, but you can still register questions by pressing star followed by one on your telephone keypad. Hello, everyone, and welcome to the Equity Bancshares, Inc. 2025 Q1 Q2 earnings call. My name is Carla, and I will be coordinating your call today. During the presentation, you can register to ask questions by pressing star followed by one on your telephone keypad. If you change your mind, please press star followed by two. I would now like to hand you over to your host, Brian Katzfey, Vice President, Director of Corporate Development and Investor Relations. Please go ahead when you are ready.
Brian Katzfey: Good morning. Thank you for joining us today for Equity Bancshares' second quarter earnings call. Before we begin, let me remind you that today's call is being recorded and is available via webcast at investors.equitybank.com, along with our earnings release and presentation materials. Today's presentation contains forward-looking statements which are subject to certain risks, uncertainties, and other factors that could cause actual results to differ materially from those discussed. Following the presentation, we will allow time for questions and further discussion. Thank you all for joining us. With that, I would like to turn the call over to our Chairman and CEO, Brad Elliott.
Brad Elliott: Good morning, and thank you for joining Equity Bancshares' earnings call. Joining me today are Richard Sems, our bank CEO, Chris Navratil, our CFO, and Krzysztof Slupkowski, our Chief Credit Officer. We are excited to share our company's sustained strong beginning to 2025. In the second quarter, we achieved strong earnings, core margin expansion, and successfully closed our merger with MVC Bank on July 2. Limiting time between announcement and closure of our transaction has been a core competency of equity. Our work to receive all required approvals on this transaction within sixty days of announcement provides confidence to a seller and value to our shareholders. We are proud of our teams for putting us in a position to continue to excel in this space. We could not be more excited to welcome the leadership and team members of NBC Bank. HK Hatcher, Glenn Floresca, Jeff Greenleigh, Dennis Demer, and Scott Bixler. That team, coupled with Ken Ferguson joining our board, are excellent additions to the Equity Bank franchise. I look forward to all they can and will accomplish as we continue to expand our presence in the state of Oklahoma. While executing on our M&A strategy, our team has also remained hyper-focused on serving the communities in which we operate. I am very proud of all that Rick has accomplished, as he and Jonathan Roop have worked to reset and retool our retail staff and philosophy. He has also made a lot of progress with our commercial teams. Originations are growing, as are our commercial product sales. Loan balances year-to-date are up $100 million, while deposits, excluding seasonal public funds, have held their ground. Our teams are motivated and armed with tools to meet the needs of our communities, and we look forward to continued execution on our mission. We closed the quarter with a TCE ratio of 10.63% and a tangible book value per share of $32.17. Compared to the second quarter of 2024, our TCE ratio is up 41% and our tangible book value per share is up 25%. Providing top-notch products and services through exceptional bankers continues to be our guiding principle as we aim to grow Equity Bank. We started the year with a strong balance sheet, motivated bankers, and a solid capital stack to execute on our dual strategy of organic growth and strategic M&A. We have executed through the first half of the year and look forward to maintaining this momentum throughout the year. I will now hand it over to Chris to walk you through our financial results.
Chris Navratil: Thank you, Brad. Last night, we reported net income of $15.3 million or 86¢ per diluted share. Adjusting for costs incurred on M&A and the extinguishment of debt, earnings were $16.6 million or 94¢ per diluted share. Net interest income for the period was $49.8 million, up $1.8 million linked quarter when adjusting for $2.3 million in nonaccrual benefits realized in the prior period. Margin for the quarter was 4.17%, an improvement of 10 basis points when compared to the core margin of 4.07% linked quarter. We continue to be optimistic about our opportunities to maintain spread and improve earnings through repositioning of earning assets throughout 2025. More to come on margin dynamics, later in this call. Noninterest income for the quarter was $8.6 million, up $500,000 from Q1 when excluding the $2.2 million BOLI benefit realized in that quarter. The increase was driven by improvement in customer service charge line items, including deposit services, treasuries, debit and credit card, mortgage, and trust and wealth. Noninterest expenses for the quarter were $40 million. Adjusted to exclude loss on static extinguishment, M&A charges, noninterest expenses were $38.3 million, down modestly in the quarter, and in line with outlook. Debt extinguishment charges of $1.4 million were realized during the quarter as the company chose to redeem our outstanding subordinated debt issue following a first capital and interest rate reset period. The plan is to refinance within the month. As we have discussed in past calls, we are in an opportunity-rich environment and maintaining this source of capital provides continued flexibility while resetting allows for capital maintenance and a better coupon. Our GAAP net income included a provision for credit loss of $19,000. The provision is the result of realized charge-offs partially offset by a moderate decline in ending loan balances. We continue to hold reserves for any economic challenges that could arise. To date, we have not seen concerns in our operating markets that would indicate these challenges are on the horizon. The ending coverage of ACL to loans is 1.26%. As Brad mentioned, our TCE ratio for the quarter remained above 10%, closing at 10.63%. The funds from the capital raise in Q4 to be maintained at the holding company with no current intention of pushing into the bank. At the bank level, the TCE ratio closed at 10.11%, benefited both by earnings and improvement in the unrealized loss position on securities portfolio. I will stop here for a moment and let Krzysztof talk through our asset quality for the quarter.
Krzysztof Slupkowski: Thanks, Chris. During the quarter, nonaccrual and nonperforming loans moved up, as we saw migration of the QSR relationship we have discussed on previous calls. Nonaccrual loans closed the quarter at $42.6 million, up $18.3 million from the previous quarter. The increase is almost entirely driven by that same QSR relationship. The customer has a good path to exiting the under locations over the next several quarters. We remain engaged with the borrower in a collaborative effort to pursue a full resolution through multiple avenues. Until the resolution of the challenge stores is realized, classification as a nonaccrual asset is an appropriate step. Total classified assets closed the quarter at $71 million or 11.4% of total bank regulatory capital. Importantly, classified asset levels remain well below our historical averages and continue to be actively monitored and managed. Delinquency in excess of thirty days moved down during the quarter to $16.8 million. Net charge-offs annualized were six basis points for the quarter, while year-to-date charge-offs annualized were four basis points. Recognized charge-offs continue to reflect specific circumstances on individual credits and do not signal systemic issues within our markets. Looking ahead, we remain positive on the credit environment and the outlook for the remainder of Q2 2025. Despite some uncertainty in the broader economy, credit quality trends across our portfolio remain stable and below historic levels. Our disciplined underwriting, strong capital, and reserve levels position us well to navigate any potential headwinds. We believe this practice and a measured approach support continued sound credit performance while allowing us to respond quickly if conditions change.
Chris Navratil: Thanks, Krzysztof. As I previously mentioned, margin adjusted for one-time items in Q1 improved 10 basis points in the quarter. The improvement during the period was driven by remixing of balance sheet loans, comprised 76% of average earning assets compared to 75% in the previous quarter. Yield expansion on the loan portfolio was driven by increasing coupon results and a reduction in both the level and cost of interest-bearing liabilities. Average loans increased during the quarter at an annualized rate of 6.2%, while average interest-earning assets increased 1.7%. The increase in margin and earning assets coupled with an additional day in the period, led to core net interest income growth of $1.8 million. As we look to the remainder of the year, we are optimistic about margin maintenance on the legacy portfolio as we see loan balance growth and continued lagged repricing on our asset portfolios. In addition to our legacy portfolios, following the July 2 closing of NBT, we will begin to realize the benefits of that transaction. While we are continuing to work through fair valuation estimates, we expect to realize margin improvement from the addition of the underlying assets and liabilities. Refer to our outlook slide for additional detail on second-half earnings expectations reflecting current estimates of the impact of MVC. As a reminder, we do not include future rate changes, though our forecast continues to include the effects of lagging repricing in full our loan and deposit portfolios. Our provision is forecasted to be 12 basis points to average loans on an annualized basis.
Richard Sems: Our production teams have had an excellent start to the year, as we realized loan growth of more than $100 million through the first two quarters while also maintaining deposit balance exclusive of anticipated municipality outflows. As we look to layer in the NBC footprint, their exceptional leadership team, I'm excited to see what the equity team can accomplish in the second half of 2025. Production in the quarter totaled $197 million in line with prior-period organic production and twice as much as Q2 2024. Rates on new production were 7.17% compared to 6.73% in Q1, continuing to provide accretive value compared to current yields. While originations kept pace, decreasing line utilization and increasing levels of payoffs during the period resulted in a decline in ending balance sheet compared to prior quarter-end. Higher payoffs resulted during the period were related to positive outcomes for borrowers, asset sales, or upstream takeouts. We anticipate additional opportunities to bank these borrowers in the future. As we close the quarter, our 75% pipeline is $481 million, up $119 million or 33% from quarter one. The team continues to focus on growing relationships, deepening wallet share, and pricing for the value provided, which will benefit Equity Bank in the future.
Chris Navratil: Our retail teams entered the year with aligned direction and a framework designed to drive success throughout our footprint. The first half of the year showed positive trends in gross and net production levels, including net positive DDA account production. Though we have a long way to go to meet the aggressive goals we have set, I look forward to assisting this group in realizing success throughout 2025 and beyond. Deposit balance, excluding brokerage funds, declined $43 million. Lost balances were primarily in commercial accounts due to normal outflow activities. The accounts remain open and active. With the closing of NBC, Equity adds Oklahoma City, a growing metro market, with opportunities to leverage a larger balance sheet and franchise, while the many Oklahoma communities added continue to align with the Equity Bank mission. With Greg Kossover and H. Hatcher and all of our market leaders driving our franchise forward, we can accomplish a lot.
Brad Elliott: It is a very exciting time for everyone associated with Equity. Our employee base has opportunities to grow and learn, our board is incredibly engaged and focused on what creates long-term shareholder value. The communities we serve continue to get the scale of a larger company with a small-town feel. And our shareholders benefit from continued EPS growth, market and deposit base expansion, all leading to compounding tangible book value. We are in a great position in our markets with our organic sales team. Our management team is ready for the challenge and relishes the opportunity ahead of us. Our board has done a great job navigating a strategic path that allows us to grow both organically and through M&A. M&A conversations continue at a very high rate. Equity will remain disciplined in our approach to assessing these opportunities, emphasizing value while controlling dilution in the earn-back timeline. I look forward to the rest of the year and beyond. Thank you for joining our call today. We are now happy to take any questions you might have.
Operator: Thank you. We will now begin the question and answer session. When preparing to ask a question, please ensure your device is unmuted locally. We will make a quick pause here for the questions to be registered. And our first question comes from Terry McEvoy with Stephens.
Terry McEvoy: Hi. Good morning, everybody. Maybe start with a question for Chris. Could you talk about plans for the NBC Bank bond portfolio at NBC Bank and just overall thoughts on managing the securities portfolio in the second half of the year?
Chris Navratil: Yes. Good question, Terry. Under the terms of the MVC agreement, the MVC management team actually affected a sale of their bond portfolio prior to our acquisition of the bank. So coming over to our balance sheet, effectively, those have been monetized into cash balances. There's a very small level of securities being brought over that have just been retained for the purposes of managing pledging positions. So that cash will come into our environment with the opportunity to deploy both for securities portfolio needs as well as funding loan growth and other alternatives on the balance sheet. So no specific actions need to be taken by us at this point as it relates to their bond portfolio, just based on what's actually coming over to us. In terms of managing the rest of the way, the bond portfolio for us is a mechanism by which to deploy cash with an improved return potentially. But really, the balances fluctuate depending on need for both liquidity and pledging as well as cash balances relative to deposits. We saw in the quarter some average balance decline. We had some purchases into the end of the quarter, which is going to grow that balance for average balance purposes going into Q3. But it's a balancing function in that portfolio where we are maintaining to best leverage our cash position while also having the liquidity and pledging required for municipality deposits.
Brad Elliott: We've constantly been looking at whether there is an opportunistic time to rebalance that portfolio also. So if there's a thought process that we come up with to do a structured treasurer rebalance, we will move forward with that as well.
Terry McEvoy: And a question for Krzysztof. Are you seeing any stress within that QSR portfolio outside of the one relationship that we've talked about for the past couple of quarters?
Krzysztof Slupkowski: Yeah. And I've discussed this on previous calls. We do see softer operating numbers in that sector from our other borrowers. When it comes to classified numbers that we have, we have one small relationship in that space outside of this large one that I mentioned. But outside of that, we have a lot of granularity in this portfolio. We have diversification between different QSR concepts, different brands. We have diversification when it comes to geography and borrowers. So there's a lot of granularity there and the one we just downgraded is the largest concern.
Terry McEvoy: And maybe just one last quick one. Back to Chris. That step down in the fourth quarter as it relates to noninterest expenses relative to the third quarter, is that all cost savings from the deal? Or is there anything else baked into that decline in 4Q?
Chris Navratil: Yes. It's predominantly the impact of NBC. I think we always have a little bit of a downward trend through the year in terms of NIE, primarily in the salaries and the employee benefit line items. But most of that reduction is at the MVC savings.
Terry McEvoy: Great. Thanks for taking my questions.
Operator: And the next question comes from Jeff Rulis with D.A. Davidson.
Jeff Rulis: Thanks. Good morning. Maybe a couple of questions on the larger QSR credit. What triggered the move to nonaccrual? Is it just sort of a timing? And then, Krzysztof, you mentioned the expectation for a path of exiting some of the better locations. If properties are sold, would that reduce the nonaccrual amount before fully resolving the whole relationship? Can we see that balance trickle down as you progress in those other locations?
Krzysztof Slupkowski: Yeah. So the nonaccrual treatment was appropriate from an accounting standpoint as the loans were past due. Regarding exiting the stores, they have a market that is unprofitable, dragging their cash flow down. We are executing a plan to exit these unprofitable stores. The rest of the locations are performing well, able to carry the debt load. We're not sure how long this will take; we think it will be the next several quarters. Once executed, cash flow will be more stable, and potentially we could upgrade to accrual status later next year.
Jeff Rulis: And Brad, it sounds fairly positive on the M&A front. Are sellers seeing regulatory approval for deals accelerating? Is it changing the tone or bringing more folks to the table, or has it been pretty steady?
Brad Elliott: Yeah. On the QSR restaurant, they have a good business with other 33 stores cash flowing positive. If they cannot execute fast enough, we will ask them to sell the whole package. Regarding M&A, it is driven more by age of ownership and management than regulatory approval. Many have a window for selling, often past by 2-5 years. Owners are looking for liquidity past those windows, and management teams are older than they planned for selling. I think the activity is driven this way as timing was put off in past years.
Jeff Rulis: Appreciate that. Thanks, Brad.
Operator: Thank you. And just as a reminder, it is star one to ask a question. The next question comes from Damon Del Monte with KBW.
Damon Del Monte: Hey, good morning, guys. Thanks for taking my question. Perhaps for Rick on the outlook here in the second half of the year for loan growth. You explained the end-of-period decline; could you talk about the optimism in the back half of the year and what's driving that from a geographic and asset class standpoint?
Richard Sems: Sure. We're seeing continued pipeline building at the highest levels, which fuels our optimism. There's more activity in the C&I side, and our CRE side remains strong. The waves of payoffs seem to be slowing down. With the production engine from the last four quarters, we expect growth in the second half of the year based on pipeline and steady production.
Damon Del Monte: The lower line utilization this quarter, was it seasonally driven, or a shift in customer's operating approach?
Richard Sems: It involved a couple of specific large situations. Wealthy customers received funds and paid down lines; those lines remain. Ag lines also have cyclical elements. We view it as a one-time issue.
Chris Navratil: It affected both deposit and loan balances due to distributions by principals, leading to line paydowns. We feel positive about the customer's position and expect line drawdowns again.
Damon Del Monte: On the margin outlook, some repricing occurs in the next few months. Do you have numbers for loans repriced in the back half?
Chris Navratil: Yes, a little repricing on both sides. We view maintaining our core margin from this quarter around 4.17% as repricing occurs on both loans and deposits. There's runway into 2026 for additional repricing moves.
Damon Del Monte: Great, that's all I had. Thank you very much.
Operator: Just as another reminder, it is star one to ask a question. Our next question comes from Brett Rabatin with Hovde Group.
Brett Rabatin: Hey guys. Good morning. Regarding Wichita with defense spending and its aviation backdrop, are there opportunities? Could you provide color on Wichita's situation?
Brad Elliott: Wichita is less than 10% of our company footprint. We have minimal exposure to aircraft lending, down to $5 million from $100 million five years ago. The community is unaffected by issues with Boeing; demand remains strong for jobs due to good performance by Cessna, Beechcraft, and Learjet. Spirit and Boeing have not announced layoffs. Demand for skilled talent remains, and we're not seeing Boeing Spirit's effect on the local market.
Brett Rabatin: Appreciated. A question on the margin, Chris. Regarding deposit betas, any modeling on deposit growth outlook?
Chris Navratil: Most cost adjustments are complete. Pre-existing competitive deposits have been repriced, market competitive, creating some limitations on future beta opportunity. Competition persists, and market factors influence rates and growth, providing avenues for increased value in growing relationships. Static costs are largely addressed; incremental commercial deposit growth creates value where possible.
Brett Rabatin: One last one. Brad, you're optimistic on M&A possibilities. Is the target size range increasing?
Brad Elliott: Yes, opportunities are rising in size. Our focus remains on $150 million to $1.5 billion in institutions that fit geographically.
Operator: Thank you. As a final reminder, if you want to ask a question, it's star one on your telephone keypad. As we currently have no further questions in the queue,